Operator: Good morning, ladies and gentlemen, and welcome to the Metro Inc. 2023 Third Quarter Results Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. This call is being recorded on Wednesday, August 9, 2023. I would now like to turn the conference over to Mr. Sharon Kadoche, Manager, Investor Relations and Treasury. Please go ahead, sir.
Sharon Kadoche: Good morning, and thank you for joining us today. Our comments will focus on the financial results of our third quarter, which ended on July 1. With me today is Mr. Eric La Flèche, President and Chief Executive Officer; and François Thibault, Executive VP and Chief Financial Officer. During the call, we will present our third quarter results and comment on its highlights. We will then be happy to take your questions. Before we begin, I would like to remind you that we will use in today's discussion different statements that could be construed as forward-looking information. In general, any statement, which does not constitute a historical fact may be deemed a forward-looking statements. Words or expressions such as expect, intend, are confident that, will and other similar words or expressions are generally indicative of forward-looking statements. The forward-looking statements are based upon certain assumptions regarding the Canadian food and pharmaceutical industries, the general economy, our annual budget and our 2022-2023 action plan. These forward-looking statements do not provide any guarantees as to the future performance of the company and are subject to potential risks, known and unknown as well as uncertainties that could cause the outcome to differ materially. Risk factors that could cause actual results or events to differ materially from our expectations as expressed in or implied by our forward-looking statements are described under the Risk Management section in our 2022 annual report. We believe these forward-looking statements to be reasonable and pertinent at this time and represent our expectations. The company does not intend to update any forward-looking statements, except as required by applicable law. I will now turn the call over to François.
François Thibault: Thank you, Sharon, and good morning, everyone. Total sales for the quarter were $6.4 billion, an increase of 9.6% over last year, with food same-store sales up 9.4% in the quarter and pharma same-store sales up 5.9%. When you adjust for the $5.3 million of direct costs related to the one-week labor conflict that was included in the gross profit of last year, gross margin is down 20 basis points. The reduction reflects the decline in our food gross margin as we continue to absorb part of the cost increases and as the shift to discount is still prevailing. Operating expenses increased 8% to stand at $650.6 million, or 10.1% of sales versus 10.3% of sales last year. The third quarter was impacted by $5.1 million of launch costs related to the launch of our loyalty program MOİ as well as fees related to higher online partnership sales. Included in Q3 last year are $2.4 million of direct costs related to the one-week labor conflict at our distribution center employees -- with our distribution center employees in Toronto. EBITDA for the quarter totaled $612.3 million, up 8.4% year-over-year and represented 9.5% of sales versus 9.6% last year. Total depreciation and amortization expense for the quarter was $159.5 million versus $154.7 million last year, and the 3.1% increase reflects the additional investments in supply chain logistics as well as in-store technology. In our third quarter, the income tax expense amounted to $69 million and represented an effective tax rate of 16.6% compared with an income tax expense of $99.6 million and an effective tax rate of 26.6% in the third quarter last year. The company recorded tax assets $40.7 million in the quarter, and that's comprised of $8.2 million of current tax assets and $32.5 million of deferred tax assets with an equivalent reduction of the tax expense following a favorable judgment at the Tax Court of Canada. Capital losses previously disallowed by the Canada Revenue Agency on the disposition of shares of Rite Aid by Jean Coutu Group in the year 2012, 2014 have now been granted. And the CRA subsequently accepted that the company amend a rollover form filed for the tax year ended March 3, 2018, and that resulted in an increase in the tax base of intangible assets. Adjusted net earnings were $314.8 million compared to $23.8 million last year, a 10.9% increase and our adjusted net earnings per share amounted to $1.35, up 14.4% versus last year's adjusted EPS of $1.18. After three quarters in fiscal 2023, capital expenditures amounted to $403.2 million versus $445.8 million last year. On the retail side, we opened five new stores so far this year, one Metro store in the province of Quebec, two Super Cs and one Food Basics while converting a Metro to a Super C in Gatineau. We also carried out major renovation in seven stores, representing a net increase of 153,000 square feet or 0.7% of our food retail network. Turning to our current normal course issuer bid program, we have repurchased between November 25, 2022, and July 28 of this year, a little over 6.2 million shares for a total consideration of $449.3 million, representing an average share price of $72.23 a share. That's it for me. I'll turn it over to Eric.
Eric La Flèche: Thank you, François, and good morning, everyone. We delivered solid results in the third quarter, fueled by strong same-store sales and good operating leverage. While food inflation remains stubbornly high, our teams did an excellent job to offer good value to our customers in all of our banners, resulting in market share gains for the network in tonnage and dollars, driven by our discount food stores. For the quarter, total sales grew by 9.6%, EBITDA by 8.4% and adjusted EPS by 14.4%. The Food same-store sales were up 9.4%, driven by the continuing shift to discount. Our internal food basket inflation decelerated to 8%, lower than the reported CPI and lower than in the previous quarter. Traffic was up significantly, while the average basket remained flat. Promotional penetration remains high and private label sales continue to outpace national brands. Our Food gross margins came in lower than last year, again this quarter as we continue to absorb a portion of the cost increases we incur. In pharmacy, we delivered strong, balanced performance despite the expected decrease in cough and cold demand. Pharmacy comparable sales were up 5.9% on top of 7.2% in the third quarter last year. Prescription sales were up 6.7%, driven by dispensing fee indexations, growth in high-cost therapies and professional services. Commercial sales were up 4.1%, primarily driven by cosmetics and health and beauty. The two-year stack is 12.7% for prescription sales and 15.2% for commercial products. As you know, the employees have had 27 of our Metro stores in the Greater Toronto area have been on strike since July 29. We are clearly disappointed given that we had worked constructively with the union and the employees bargaining committee to reach a very good agreement providing significant pay increases that they unanimously recommended to the employees. We remain committed to the bargaining process and look forward to a resolution and the reopening of our stores as soon as possible, while ensuring the long-term competitiveness of our company. We successfully launched our MOI Loyalty program in late May and early results are very encouraging with more than 1 million new members joining the program, which now has 2.2 million members and still growing across our five banners. The swipe rate in all banners is healthy and overall customer response has been positive. Also, we see a higher basket spend for more customers across all banners. Our online food sales were up 99% versus last year, mostly driven by new partnership sales. Demand for our own online services has been stable, and we continue to add capacity with more click-and-collect stores. Turning to the modernization of our supply chain. We continue to see productivity improve in both our fresh Phase I and frozen distribution centers in Toronto. We look forward to the launch of our state-of-the-art fresh and frozen automated distribution center in Terrebonne, north of Montreal in the coming weeks to serve our Quebec stores. As we begin our fourth quarter, we are seeing some moderation in food inflation. Compared to last year, the number of price increase requests received from suppliers in Q3 are down about 40%. However, the size of the increases remains higher than normal in the mid to high single-digits. That's on top of many double-digit increases last year. So, we're tracking input costs, and our teams are negotiating the best possible costs to minimize retail price inflation. On the pharmacy side, we will be going up against tough comps in the next few quarters as we lap extraordinary demand in OTC medication in fiscal 2022 due to post COVID-19 cough and cold symptoms. We are now back to more normal demand levels. Finally, I want to take this opportunity to address comments that have been made in the media following the recent plea by a bread supplier in the Competition Bureau investigation that started in 2015 and also the recent launch of a new class action alleging price fixing in the meat category. This class action is yet to be certified and we will vigorously oppose this certification. Let me be clear, we have not participated in any price fixing agreement, and we have not violated the Competition Act. Compliance with the law and our Code of Conduct by all employees from top to bottom is fundamental at our company. Allegations that the food industry's culture is such that these practices may be generalized or that the governance is somehow deficient are simply not true, damages the reputation of our company, all its employees and the industry and should stop. We take pride in our team, our culture, our performance and our investments to better serve our customers and support our communities. Thank you. We'll be happy to take your questions.
Operator: Thank you sir. Ladies and gentlemen, we now begin the question-and-answer session. [Operator Instructions] Your first question comes from Tamy Chen with BMO Capital Markets.
Tamy Chen: Hi, good morning. Thanks for the questions. First, I just wanted to go back to the comp here. I mean I know we're doing a bit of street math here, but it implies a positive tonnage result, which was quite positive. Could you just talk a bit more about that? I know in the press release, you've called out market share gains. But anything more you could say about that strong performance would be helpful. Were there any specific factors that you would highlight. Can you talk a bit more about the positive impact your automated DCs in Toronto would have had, whether it's better fill rates or better quality on the produce?
A – Eric La Flèche: So the general comment is we're very pleased with our performance on the food side across the business. We're gaining share and doing really well on a relative basis. Overall, within discount and within conventional. So very pleased with the performance. It's a challenging operating environment. Inflation is tough. People are searching for value in all of our stores, on all of their trips. And I think, like I said, our merchandisers and our store operators did a great job to deliver good value to our customers, and that's reflected in the strong same store sales that we're reporting today. Discount is a big driver of that growth. The shift to discount continues. It's been ongoing, and it still continues today. We're well positioned with Super C and Food Basics. And that's allowing us to record some of these numbers and gaining tonnage. So as inflation moderates and starts to decelerate with the strong same store sales that we have, Yes, we are gaining tonnage overall. So it's -- I'm not going to point out one category. You point out the DCs in Toronto. For sure, our in-stock position with these new DCs is better, and that has contributed to some sales and some tonnage probably. But I wouldn't point out that as the big driver. It's one factor amongst many. There's a lot of factors at play -- strong execution, good merchandising in this tough operating environment.
Q – Tamy Chen: Okay. And what about on the promotional side in this quarter, the year-over-year decline in food gross margin, were you investing perhaps a bit more than typical in promotions to drive that tonnage that may have contributed to the year-over-year decline in gross margin?
A – Eric La Flèche: Promotional penetration is stable. It's pretty much back to pre-pandemic levels. So I would call it, stable and normal. It's high, but it's always been kind of at those levels. Investing, we're absorbing part of the cost increases. We're facing -- have been facing for over a year, significant cost increases -- there are limits to what we can charge to our customers. So yes, it's reflected in the lower gross margin in food, like we've been saying for a few quarters. It's a reality to be competitive and offer good value to our customers. Private label is growing strongly at a higher rate, that's helping. But as we grow discount sales, as we offer good value to our customers, that puts pressure on their gross margin in the environment where we have all these cost increases.
Q – Tamy Chen: Right. Okay. That's it for me. Thank you. 
A – Eric La Flèche: Thank you.
Operator: Thank you Your next question comes from Irene Nattel with RBC Capital Markets. Please go ahead. 
Irene Nattel: Thanks and good morning, everyone. On the Moi I think you mentioned that you have 1 million new customers, which is fabulous. What are you in terms of sort of the cross-shop PJC Metro and even -- and the redemption across both banners.
Eric La Flèche: Yes. So very pleased with the sign up, 1 million new members is ahead of our schedule. So very pleased with that. I think the teams had a great media campaign. It was really a strong launch in Quebec, and people are responding well across all of our banners. So metro&moi, a customer had the card before, so it's a seamless for them. But we're signing up new customers or new members at Jean Coutu, Super C, and Brunet also a little bit. So very positive. Early days for cross-shopping all this analysis -- it will be done. We're seeing some, but I'm not going to draw big conclusions. It's still very, very early days. But the purpose of the program, the coalition within our company, with our multiple banners, it's complementary, high traffic, and we're very confident that we're going to see more and more cross-shop and cross-redemption of more points into our stores. So a successful launch, but a lot of work ahead. The RBC partnership is off to a good start, too. So we'll be monitoring those results going forward.
Irene Nattel: That's great. Thank you. And then just thinking ahead to the opening of the DC here in Montreal, presumably, as you're planning for the opening, you're taking a lot of the learnings from Toronto. How should we be thinking about sort of the phasing of it coming on stream and sort of any incremental costs or duplicative services that we should be keeping in mind?
Eric La Flèche: So yes, so we will start to ramp up next month, sometime in September, with the cold down starts next week, and then we will start operations gradually in September. So we will transition product gradually over the next several months. So this is -- next year is going to be a transition year, where we operate the new DC in Terrebonne, the old DCs will still be operating as we transfer products. So our intention is to finish our budgets, do all our numbers and give you more guidance in November, on what the impact of these costs are going to be for next year. We're not ready to do that, but there will be some. That's for sure. On the learnings, clearly, yes, several people from Quebec were involved in the DC launches in Toronto over the last couple of years. So a lot of learning has taken place, and that will be taken to Terrebonne when we launch the center. So I think we're going to be in good shape, but it's going to be a transition year.
Irene Nattel: That’s great. Thank you very much.
Operator: Thank you. Your next question comes from Michael Van Aelst with TD Cowen. Please go ahead.
Michael Van Aelst: Hi, thank you. Good quarter. I have a question on the e-commerce side actually. This is a very strong growth, and it seems like you're gaining share at least on the Instacart platform, I'd assume. Is that accurate? And what else you do you think explains that jump in your growth rate overall in your e-commerce from 40% in the first half to almost 100% in this quarter?
Eric La Flèche: So Michael, like I said, the growth is mostly substantially driven by the partnership. So it's Instacart, it's Uber. So as we're putting more banners and more stores and more regions on that platform, it's growing our sales number versus the previous quarter. So what's our share on Instacart? I don't know. But we -- our sales with those marketplaces are growing.
Michael Van Aelst: But Eric, did you add Uber and Instacart in the last quarter? I thought that was added last -- later last year.
Eric La Flèche: We've been on Uber Cornershop for a long time. We've added Instacart over the last year. So we haven't done one full year yet, but we're ramping up sites. Sales are growing on those platforms. So yes, it was more in Q3 than it was in Q2. And at some point, it's going to stabilize. So happy with that performance.
Michael Van Aelst: Okay. So it's not -- you didn't actually see more -- did you see -- actually, I guess the question is, did you see more geographies added to the platform, let's call it, over the last quarter? Can you explain that, John?
Eric La Flèche: Yes. Yes, those marketplaces are opening up in more geographies where we can serve the customer. So that's contributing to it for sure. Yeah. Our own -- I was just going to say, our own services online are pretty stable. So demand for our own services has been pretty stable, but we've been growing share total e-com share through these marketplace platforms.
Michael Van Aelst: Okay. And as it grows, I didn't hear your comment earlier. Is it -- does the extra cost partnership costs, does that affect your gross margin or your OpEx?
Eric La Flèche: Is OpEx Michael. It's -- we flagged in the MD&A. So we have more e-com fees in the OpEx versus last year. That's part of the reason why it's a little higher.
Michael Van Aelst: All right. And are you willing to give us what your e-commerce penetration is now?
Eric La Flèche: No.
Michael Van Aelst: All right. Thanks very much.
Eric La Flèche: Thanks, Michael.
Operator: Thank you. Your next portion comes from Vishal Shreedhar with National Bank. Please go ahead.
Vishal Shreedhar: Hi. Thanks for taking my questions. Just a few quick ones here. Is it fair to say that your market share gains are accelerating quarter-over-quarter?
Eric La Flèche: Yes, you can say that. Slightly, yes.
Vishal Shreedhar: And with respect to market share on the Jean Coutu side in prescriptions, are you seeing market share gains there as well?
Eric La Flèche: Pretty stable on that side.
Vishal Shreedhar: Okay. And also related to market share, Metro has been advancing many initiatives, such our big supply chain initiatives you have loyalty offers and these have direct customer-facing benefits. So wondering, as a result of these initiatives, are you able to isolate any improvements associated to your Net Promoter Scores, or -- are you seeing that improve? And is that resulting in your market share gain?
Eric La Flèche: Our NPS -- we monitor NPS customer satisfaction in all of our banners constantly. We're pleased with our overall numbers. Clearly, in this high inflation environment, customers are not super happy about pricing. I think it's an industry issue and a global issue. So that's affecting our numbers a little bit. But overall, the rest of the metrics we measure are trending positively overall. So we're pleased with our customer satisfaction performance.
Vishal Shreedhar: Okay. And maybe just changing topics here on the impact of shrink. Are you seeing that magnifying -- or is it stabilizing? And what is management doing to better control that line?
Eric La Flèche: So it's, again, an execution and operations issue at store level to control shrink. If you're referring to theft and all of that. Shrink is also a function of merchandising and pricing and turnover in our stores. So overall, we're pleased with our shrink performance. We're not seeing a huge spike in shrink. Clearly, there are issues with self-checkouts, but there were issues before. There are more organized networks to steal from us and from other retailers. So we have to be very careful. And with loss prevention, our franchisees, store operators, it's a constant effort to manage it. So that's what we're doing. It's an issue that we address like many others, but I can't point to that to say, it's a huge issue. 
Vishal Shreedhar: Okay. Thanks for your comment.
A – Eric La Flèche: Thank you.
Operator: Thank you. Your next question comes from Mark Petrie with CIBC. Please go ahead.
Mark Petrie: Hey, good morning. I just wanted to follow-up on a couple of things, actually. So just on the food same-store sales, I know there's always noise in the inflation versus same-store sales growth calculation, especially with consumer behavior shifting so much, but you were sort of lapping an outlier period last year where the tonnage looked weak relative to your normal sort of trend. So I'm just curious to hear a bit more about this and how much of this result, do you think is sort of catch-up from lapping something -- some noisy numbers last year versus something that could sustain and flow through the results for the next couple of quarters? -- if you were to hold the share from here -- the share gains from here?
A – Eric La Flèche: Well, yes. We were lapping a 1% same-store sales or thereabouts last year in Q3. So I hear you. Again, the COVID noise over the last few years is harder to analyze it that way. So we consistently look every week at our number versus pre-COVID and how we're doing on a 4-year stack basis. And we're very pleased with our performance overall. And the discount shift, if you look at it over 4 years is strong. And again, as I said in my opening statement, we're well-positioned with Super C and Food Basics. So very pleased with our current performance, our market share gains the quarter last year reflected the quarter, the year before. So you have to be careful on the lapping. They were not last year versus 2021 was not necessarily apples-to-apples. Whereas this year,' 23 versus '22, it's pretty much apples-to-apples, and we're pleased with our growth.
Mark Petrie: Okay. Okay. I appreciate that. And then just also following up on the on the gross margin. I think last quarter, food was a little bit stronger, supported by -- I think you've called out amongst other things, the ramping DC efficiencies. And so I just want to confirm, those efficiencies are continuing and probably even accelerating a little bit. So it was maybe just some near-term volatility as opposed to any fundamental shifts in sort of the payoffs from the DC. Is that fair?
A – Eric La Flèche: That's fair, Mark. The efficiencies are still there.
Mark Petrie: Yes. Okay. And sorry, just on the -- the other follow-up is, how are the enrollment rates, kind of performing now? Obviously, there's an initial surge when you launch. Have those started to plateau or are you still sort of seeing initial -- kind of that initial surge, -- is that continuing?
A – Eric La Flèche: So yes, for sure, it's plateauing, but it's still growing. So the numbers are growing every week at a slower rate than they were in the first few weeks. But we're pleased with the numbers we're getting. And we see continued enrollment opportunities. And then we will do everything we can to signup as many people as we can.
Mark Petrie: Yeah. Yes, yes. No, absolutely. Just trying to sort of gauge where you're at in terms of that progression. And then I don't know if you can or are willing to share anything with regards to the next steps with regards to sort of deepening engagement with that program?
A – Eric La Flèche: Well, next steps, like I said, we're rolling it out, but we have a strong digital strategy to engage with our customers, connect with our customers. So all the personalization, the connections, the personalized rebates, the cross-shopping opportunities that's all part of our loyalty/digital program. And for obvious competitive reasons, I'm not going to give you all the strategies, but it's clearly part of our program to drive sales and drive loyalty with our customers, more of their, spend within our stores. That's what it are all for.
Mark Petrie: Okay. Appreciate that. Congrats on a quarter and all the best.
A – Eric La Flèche: Thank you.
Operator: Thank you. Your next question comes from George Doumet with Scotiabank. Please go ahead.
George Doumet: Yeah. Good morning. Congrats on a good quarter. I just want to talk a little bit about the strong RX comps in the quarter. I think you mentioned higher dispensing fees and other initiatives. Can you maybe help us understand what drove that? What drove that 6% plus number? And how should we -- how are volumes trending versus pre-pandemic?
A – Eric La Flèche: Yeah. We're pleased with the RX demand. It is strong, especially considering that we were lapping some COVID RX sales driven by COVID, including test and vaccines and that kind of stuff, which were basically non-existent in this quarter. So we pointed out indexation fees. So the Public Drug Program in Québec. The Québec Association of Pharmacists came to an agreement with the Health Ministry and they don't have the exact rate, but they bumped up the prescription fee on all the prescriptions. So that has contributed. Higher cost therapies are growing. That's also a contributing factor that I pointed out. Pharmacy Services, the medical acts that the pharmacists are now allowed to do that's a growing -- it's a growing portion of our RX sales which is very encouraging. So pleased with our performance, The Jean Coutu, bring that together. We have number one leading share in Québec for prescriptions. And it's holding really well, even as we cycled the COVID stuff. So very pleased with our performance and our market share.
George Doumet: Okay. Thanks. And just maybe moving to the front-end of the pharmacy, we're coming off a pretty strong record season last year and -- just wondering, if there's a potential for maybe the comps to be flat to negative over the next few quarters? Maybe if the beauty product side doesn't really -- slow down a little bit, given kind of the macro out there. Just your view maybe on how you see that potentially evolving?
A – Eric La Flèche: Yes. So we'll be lapping -- we did lap this quarter strong front-end sales. We will do the same over the next couple of quarters. Last year, these front-end sales were driven very much by OTC. The coughs and cold symptoms post-COVID were high. So that drove a lot of traffic and sales in our stores, OTC and others. So we're seeing, like I said in my opening statement, more normal levels of demand in that regard now. So you can expect a lower -- for sure, a lower comp at the front end in pharmacy in the next quarter, and maybe the following quarter. So OTC demand is down a bit right now. Health and beauty, cosmetics, trending up, continuing to trend up. But overall, the cycling of that exceptional OTC sale last year is a tough lap, and you'll just have to -- we will have to look at market share because -- we're not going to repeat that it.
George Doumet: Okay. That's helpful. And I want to talk a little bit about SG&A first of all, the rate is up quite a bit, mid-single digits, I think mid- to high single digits versus kind of last quarter. How should we think about run rate maybe over the next few quarters and its ability to maybe be as high as sales -- just wondering how you think about that rate and deleveraging over the next couple of quarters?
François Thibault: Yeah. So obviously, there is a link to sales. Obviously, as sales grow, SG&A grows as well, not -- there's a portion of the fixed, there's a portion of variable. So it's -- I think, if you have to look at the increase versus the top line growth, so Q1 was up 4.2% year-over-year. Q2 was up 4.9%. Now it's 8% with a 9.6% top line growth. So it's still quite in line. When you adjust for the launch cost of MA and the strike cost last year, that increase is 7.6% year-over-year, and it's 10% of sales versus 10.2% of sales last year. So it's trending in the right direction. And I'm not -- we didn't give the amount of the e-com fees, but if -- if you take that into account because they're much higher than they were last year, obviously, as Eric mentioned, then we're below 7% increase year-over-year. So, on the top line growth of 9.6%. I'm very okay with that. But obviously, it's an area that we focus on. We got to make sure that this SG&A remains in line with the top line growth. So, so far, we've done that in three quarters and that's what we'll focus on going forward.
George Doumet: Okay. Just one last one, if I may. Just where are we exactly maybe on the journey for conversions to discount in Quebec? Is that something that will continue maybe next year as well and the year after. Any maybe any sense you can give us maybe where we are there.
Eric La Flèche: So yeah, we -- like I've always said, we manage market by market, store by store with the best format for each market at the right time. So -- we've converted a couple of stores last year. We probably will convert a couple of stores next year. This is the realm of the magnitude we're talking about. So -- we don't have a wholesale program here to convert a ton of stores to discount. Clearly, there is a shift in the market, and we want to capture it, but we have strong metro stores. Those that are more apt for discount conversion, we will manage closely and monitor and convert at the right time if it's the right decision market by market. So we have a few potential conversions, but it's not a huge program.
George Doumet: Okay. Thanks for the answers.
Operator: Thank you. Your next question comes from Chris Lee with Desjardins. Please go ahead.
Chris Lee: Good morning, everyone. Hi, Eric. I was wondering, when you look at the percentage of food customers that are omni-channel, have you seen a notable increase for you guys? And given that, I think you mentioned the omni-channel basket guys is about three times, the single-channel customer. I wonder if that's also one of the reasons you're seeing such a strong growth in food sales.
Eric La Flèche: It's one of many reasons. But yes, the -- we have more and more multichannel shoppers shopping our stores and online at different times for different purposes, and that's a growing number, and we're growing the share of stomach with these comers in share of wallet. So that's a big driver of our strategy to offer customers to shop our stores or online the way they want, when they want. So we have the same price, the same promotion online and in-store. And I think that's an attraction that's making some gains for us.
Chris Lee: Okay. Thanks for that. And I apologize if you mentioned this already, but are you able to share with us how did the food same-store sales evolve during the quarter? Did it accelerate through the quarter, or was it largely stable or stable rate of growth?
Eric La Flèche: I don't think it would be wise to give you too much detail, but we're very pleased with our performance. It was pretty strong throughout the quarter. I'll just leave it at that.
Chris Lee: Okay. And is it fair to infer from your comments that the performance in both Food Basics and Super C, they were both more or less equally strong, it wasn't one better than the other necessarily?
Eric La Flèche: We don't point out performance by banner, specifically, or by product, specifically. All of discount did well. Again, pleased with our metro stores on a relative basis in their respective markets. We're holding and growing, but the discount was the biggest driver, and I'm not going to segregate between the two discount banners.
Chris Lee: Okay. And just lastly, just anything on the drug reform side that you're monitoring?
Eric La Flèche: Yes, we are monitoring. So on the branded drugs, we're still waiting for the PNPB, but we always get that acronym wrong, but P – is whatever. You know what I mean. So we're still in..
Chris Lee: Yes.
Eric La Flèche: That's one. And on the generic side, there's no agreement yet, but we understand that negotiations are progressing well. Hopefully, they'll get to a resolution soon. So we have no news to report. No new news to report.
Chris Lee: Okay. Perfect. Have a good rest of the summer, guys. Thank you.
Eric La Flèche: Thank you, Chris.
Operator: Thank you. There are no further questions at this time. You may proceed.
Eric La Flèche: Thank you all for your interest in Metro, and we will speak again soon to discuss our fourth quarter results on November 15. Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a great day.